Kurt Hallead: Thank you, John. Good morning, and thank you for joining TETRA's First Quarter 2025 Results Conference Call. I'm Kurt Hallead, VP, Treasurer and Head of IR. The speakers for today's call are Brady Murphy, Chief Executive Officer; and Elijio Serrano, Chief Financial Officer. I'd like to remind you that, this conference may contain statements that are or may deem to be forward-looking, including projections, financial guidance, profitability and estimated earnings. These statements are based on certain assumptions and analysis made by TETRA and are based on several factors. These statements are subject to several risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statements. In addition, in the course of the call, we may refer to EBITDA, adjusted EBITDA, adjusted EBITDA margins, free cash flow, net debt, net leverage ratio, liquidity, returns on net capital employed or other non-GAAP financial measures. Please refer to yesterday's press release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In addition to our press release announcement, we encourage you to refer to our 10-Q that we also filed yesterday. I will now turn it over to Brady.
Brady Murphy: Thanks, Kurt. Good morning, everyone, and welcome to TETRA's first quarter 2025 earnings call. I'll summarize some highlights for the first quarter and provide an update on our strategic growth initiatives, before turning the call over to Elijio to provide some more details on our segments and an update on cash flow and our balance sheet. We're very pleased with our record first quarter adjusted EBITDA of $32.3 million and adjusted EBITDA margins of 20.5% at the TETRA level, led by strong performance from our Completion Fluids and Products segment. Total revenue of $157 million increased 17% sequentially and 4% from last year, while adjusted EBITDA of $32.3 million, increased 41% sequentially and also when compared to last year. During the quarter, we successfully completed the first of the three scheduled TETRA CS Neptune wells and made significant progress on the second well, which was subsequently completed in April. Year-over-year, we saw a 60% increase in offshore deepwater operations, having worked on 24 deepwater projects during the quarter, compared to 15 in the first quarter of 2024. This is consistent with what we have been seeing for some time, that the deepwater market has been gaining momentum since the 2021 post-COVID pandemic low point for deepwater rig activity. The nature of these large, higher pressure deepwater jobs can make our business somewhat lumpier, depending on the timing of well completions, but the year-over-year deepwater trend is a steady increase. As a result of the stronger deepwater activity and the start of the seasonally-strong industrial chemicals business in Northern Europe, Completion Fluids and Products adjusted EBITDA margins increased to 35.7% from 27.3% in the fourth quarter. Revenue from Water and Flowback Services segment declined 2% sequentially, outperforming U.S. frac activity, that declined approximately 10%. Adjusted EBITDA margins on Water and Flowback of 13% were down slightly from the fourth quarter, but up 340 basis points from Q4 last year despite much lower frac activity levels as cost control actions and continued focus on automation contributed to improved year on year margins in a weaker environment. In anticipation of weaker U.S. land activity at current oil prices, we are taking cost actions within this segment, including exit of the Polypipe business, a small lower margin sub-segment of our Water Transfer business. As we head into the second quarter, an encouraging aspect of the Water and Flowback segment is that our automated sandstorm and automated drill out units are operating at close to 100% utilization. This is strong validation that our customers see the operational benefit and cost savings of less manpower to operate what are typically manpower intensive jobs. In this business environment, we will be reducing our overall CapEx for the Water and Flowback segment, but with only 25% of our fleet automated, we will be prioritizing our CapEx to further automate our fleet. Looking towards the second quarter. We expect to see the full benefit of our European industrial chemicals seasonal peak. The first well from our recently awarded multi-well, multi-year deepwater Brazil project and expect to complete the last well of the three well CS Neptune project in the Gulf Of Mexico. We continue to track a healthy pipeline of CS Neptune projects across the globe, but given the significance of these projects that have on our financials, we will wait until a project is awarded with a defined date, before making any announcements. With regards to tariffs, both segments within TETRA have a high percentage of products and raw materials sourced from within The U.S. So, we don't expect much, if any, financial impact from tariffs. However, the current oil price environment does create more uncertainty for U.S. land activity than previously anticipated. As we've demonstrated in the past, we will be monitoring activity levels and our customer plans very closely to respond accordingly. Given our record first quarter performance and strong second quarter outlook, we have moved up the lower end of our previously communicated first half 2025 adjusted EBITDA guidance to now be between $57 million and $65 million. It was previously $55 million to $65 million. Attainment of the adjusted EBITDA guidance for the first half of the year would also be a record high for the company, with TETRA's current business segments, which will be achieved despite the uncertain environment the industry is experiencing. We generated strong free cash flow in the first quarter with a year-over-year free cash flow improvement of $41 million from the base business, including the benefit of the sale of our Kodiak shares. We have a strong free cash flow generating base business that should be able to navigate us through the near-term macro uncertainty and position the company to capitalize on its emerging growth opportunities for the coming years. Before turning it over to Elijio to discuss more details on each of the segments, I'd like to highlight the progress that we have made with regards to our emerging growth initiatives. 2025 will be a key year for us to complete milestones, that will allow us to quantify the financial benefits for each initiative. On the desalination of produced water side, with the announcement of our commercial launch of TETRA Oasis TDS and our collaboration with EOG Resources, we are very encouraged by our prospects for desalination of produced water for beneficial reuse. During the quarter, we announced a commercial pilot with EOG for a grassland study from Delaware Basin produced water. We continue to see growing momentum across the customer base and regulatory support for this much-needed industry solution. Rystad Energy estimates that in the Permian Basin alone, over 6.3 billion barrels of produced water are discharged into saltwater disposal wells per year, that could be recycled and reused for agriculture or industrial purposes, including semiconductor chip manufacturing and data center cooling. Such reuse will enable oil and gas operators to mitigate the risk associated with reducing disposal well pore space and the transport of produced water. Since our commercial launch of Oasis TDS, our customer and regulatory engagement has increased significantly, including visits to our research facility and commercial proposal discussions. There are several reports suggesting that, with the current and projected rate of water injection occurring in the Permian Basin, that by 2030 or a few years after, there will not be available pore space for water disposal injection. That is the reason why on April 21st of this year, the Wall Street Journal published an article calling this the Oil Patches Manhattan Project. On the energy storage front, as the contracted strategic supplier of electrolyte products for Eos Z3 utility energy storage systems, we're well positioned to benefit as Eos scales its manufacturing capabilities and delivers on its backlog. We believe that, the high purity characteristics of our pure flow zinc bromide electrolyte, the flame retardant characteristics, and mostly U.S., but 100% North America content makes it ideal for large-scale utility use. We are encouraged by the progress of Eos implementing their automated production lines that is expected to result in significant step changes in electrolyte volume requirements from TETRA. Regarding our Arkansas Evergreen Brine Production Unit, on April 24th, we announced that the Arkansas Oil & Gas Commission or AOGC approved our Evergreen Unit expansion, which will allow us to further optimize long-term brybe flow for bromine, future lithium and other critical minerals extraction. We completed the drilling and sampling operations for our final test well on the Evergreen Unit that indicated good reservoir results. The test well results also identified encouraging levels of magnesium and manganese, both of which are listed as U.S. critical minerals that are largely supplied from countries outside The United States. We are continuing to advance the bromine project with critical milestone investments, funded from our base business free cash flow. We are planning to commence drilling of the Evergreen unit's first of five planned production wells in the coming months, while finalizing the plant engineering and plant site preparation for erecting the bromine tower later this year. We are also encouraged that on April 22nd, 2025, the OGC approved SWA Lithium's application to establish a unit for acreage under an option agreement between Standard Lithium, SWA Lithium and TETRA. The option agreement compensates TETRA with a 2.5% royalty on gross revenues from the lithium that Standard Lithium produces from the TETRA option acreage. In addition, TETRA maintains the ownership of the bromine and other mineral interests that will meet the planned Phase 2 bromine plant production capacity. To ensure clarity on our bromine project, it's important to understand that we are taking all the necessary steps, including long-lead investments to ultimately build the bromine processing facility. With our deepwater bromine fluids demand flourishing and Eos still in the early stages of ramping production, the business case for the bromine facility is still very much intact. We have also been clear that, our intention is to fund the project from our base business cash flow, without issuing expensive equity or increasing debt and over levering TETRA at a time with uncertainty in the market. We are currently balancing long lead investments with bromine demand projections from Eos and our deepwater projects, while reducing risks, including bridging supply agreements in the event that bromine demand outpaces our current outlook. Given these objectives, we have not yet set a final completion date for the plant. We remain of the opinion that, this year our base business will generate in excess of $50 million free cash flow, so we are moving forward with plant investments likely between $40 million and $50 million on the project, advancing the engineering, putting in place the bromine tower and bringing power requirements we need to the site. At the end of the year, we will assess next steps and timing of next investments and target a go live date with our project. Each of these initiatives represent a material financial benefit to the company that we will quantify, as we complete key milestones for each throughout the year. Collectively, they are transformational for the company. Now I'll turn it over to Elijio to give some more specifics on the segments and the balance sheet.
Elijio Serrano: Thank you, Brady, and good morning, everybody. Our Completion Fluids and Products segment first quarter revenue of $93 million increased 35% sequentially, driven by strong activity. Adjusted EBITDA of $33.2 million increased 77% sequentially representing EBITDA fall through of nearly 60%. Adjusted EBITDA margins of 35.7% compared to 27.3% in the fourth quarter of last year, reflecting the impact of Neptune and the stronger offshore market. Water and Flowback services revenue of $64 million, decreased 2% sequentially, but was up 13% versus a year ago, while adjusted EBITDA of $8.3 million, increased $1.2 million year-on-year, as a fourth quarter slowdown in The U.S. onshore completions activity carried over into the first quarter. Adjusted EBITDA margins were down only slightly from the fourth quarter as our focus on leveraging technology and automation plus cost reductions to minimize the worker volumes made an impact. First quarter adjusted free cash flow was $4.2 million, of which $15.4 million was from the base business inclusive of $19 million proceeds from the sale of our investment in Kodiak. We got the timing right on when to monetize the Kodiak shares, selling them around $42 per share in early January. This morning Kodiak was trading below $34 having dropped to as low as $29.50. Total capital expenditures in the first quarter were $18 million, inclusive of $11 million associated with the expansion of our Arkansas bromine plant addressing some of the areas Brady mentioned earlier. We expect working capital to come down materially in the second and third quarters as we monetize the Neptune receivable and the calcium chloride inventory in Northern Europe. As Brady mentioned, we remain of the opinion that, free cash flow from the base business this year will be in excess of $50 million. We also further expect the free cash flow from the base business will fulfill our cash flow requirements for Arkansas this year, and we will not need to draw on our revolver nor use the delayed draw feature from our term loan in 2025. This is consistent with our plans of self funding as much as possible of our capital requirements for the bromine project. We are moving methodically in advancing our bromine plant. Liquidity as of the end of this week was approximately $219 million inclusive of the $75 million delayed drop pitch that is available for the bromine project. At the end of the first quarter, our net leverage ratio improved to 1.5x from 1.8x at the end of the year. If we see a slowdown in the onshore business, we know how to manage in such an environment. We manage cost and capital expenditures aggressively. We are doing this now. We will pull back on capital expenditures in this segment and we focus on the market, services and customers that have technology competitive advantages. Going into the second half of the year, the volumes of zinc bromide electrolyte shipments to Eos will continue to increase, as Eos scales its manufacturing capabilities and delivers on its backlog. We stay very close to that management team. We've visited their production line in Pittsburgh three weeks ago and came back very comfortable with their progress. We get a rolling forecast from Eos that gives us confidence on the progress that they are making and we expect every quarter to be stronger than the prior quarter. For upcoming investor events, we'll be in New York City on May 14th and 15th attending the D. Boral Conference, and also hosting an investor dinner and breakfast meeting. We'll be in Boston on June at the Stifel Conference and back to New York City on June 4th for the RBC Conference. We will also participate in two virtual conferences, the Lights and Partners on May 29 and the Northland Growth Conference on June 25th. We are working to expand our investment base into the water technologies and the energy transition sectors, given the growth of our battery storage and produced water desalination technology. Please visit our website or reach out to Kurt or I for more details. It was also very encouraging to see that in the last month, TETRA shares were acquired by two Water Index Passive Funds following our Oasis TDS and EOG announcements. I believe that, this is a start of our investor base expanding beyond the traditional oil and gas investors, as we make progress with our growth initiatives. I'll turn this back to Brady for closing comments before we open up the call for questions.
Brady Murphy: Thanks, Elijio. In closing, we're off to a great start for the year and anticipate a very strong second quarter. Despite recent macroeconomic uncertainty, we have a strong conviction in the longer-term outlook and our proven ability to differentiate in the markets in which we operate. Our balance sheet is solid with close to $219 million of liquidity. We anticipate further growth in 2025 and expect to continue to generate strong free cash flow from our base business to fund our emerging growth investments. The combination of these plus advances with our produced water beneficial reuse solution, our Arkansas resource position and strategic partnerships provides us the opportunity to continue to drive long-term shareholder value. With that, we'll open it up to Q&A.
Operator: Thank you. [Operator Instructions] And your first question comes from Mr. Bobby Brooks of Northland Capital Markets. Please go ahead.
Bobby Brooks: Hi, guys. Thank you for taking the question. So I was just curious, you've been engaged with customer -- you've been engaged in customer discussions on Oasis for from with a number of parties, both E&Ps and Midstreams. And I was just really curious to hear what you guys believe is kind of the biggest holdup from these prospective customers on doing a commercial pilot and eventually an actual commercial unit.
Brady Murphy: Sure, Bobby. I think the first step is that, the customers need to get totally comfortable with the technology itself and with the environmental framework that's evolving quite frankly. And it's come quite a long way. So I think if you track what's happening on the regulatory side, the legislative side, all things are starting to move in a positive direction, both in Texas and New Mexico. We are -- as I've mentioned previously in our calls, our expectations for this year was that, we would have multiple pilot projects running. And, in 2026, I think we would really start to see more commercial projects being negotiated. I think that timeline now, as we look at it could be accelerated. We're starting to see more requests by customers for commercial discussions of smaller scale commercial projects. So, we'll see how things evolve, as we go through the year. It's a pretty dynamic environment. But we are seeing things trending, I would say, quicker on the commercialization side than maybe we were on our last earnings call.
Bobby Brooks: That's very helpful color. And then, just kind of piggybacking on that, you had mentioned that, I think in the prepared remarks that, you've seen some more regular -- and you just mentioned in that answer, but like more regulatory support for beneficial reuse. Could you maybe just point us to some specifics where you're seeing that, more -- the better, the more support for this revolutionary technology?
Brady Murphy: Yes. So we're engaged very heavily with both the Texas Railroad Commission and the TECQ that are really looking over the permitting process now for Texas. And so, we have our own direct engagement with them, so that's obviously we get a direct read from that. But I think if you look at some of the legislation that has been moving through the Texas House and Senate, as I mentioned earlier, I can't point to a specific piece of legislation right now, but there has been several pieces of legislation moving through, that supports the surface discharge and use of produced water for beneficial reuse, which in the past has really been prohibitive. So those are some key, I would say, some key things to look at, Bobby, from your perspective.
Bobby Brooks: Thank you. That's very helpful. And then, maybe just the last one for me and I'll jump back in the queue is, you're going to commence drilling for Evergreen's first production well in the coming months. And I just wanted to understand, is this kind of a scenario, where you can drill it and then leave it as like a duck, like, uncompleted? And then as you build once the processing facility is fully up, you can just kind of quickly go back there and turn it online. I just want to make sure, I'm kind of understanding the timing here right.
Brady Murphy: Yes, that's exactly right. We will drill obviously one well at a time. Once we drill and complete the first well, we'll essentially put it on standby without production, until we have the bromine processing facility and then the full plant ready to be commissioned and then essentially you turn the Brine field on. And again, we'll start the first well this year. We'll announce the timing of the second through the fifth well, which is, what we have planned for the Evergreen unit as we go through the year.
Elijio Serrano: Brady, I think it's also important to remind everybody that we have a partner for all the upstream work and the cost of anything we do on the upstream side is shared with our partner proportional to the ownership that we have in the Evergreen unit.
Operator: Thank you. Our next question is coming from Mr. Martin Malloy from Johnson Rice. Please go ahead.
Elijio Serrano: We lost you there, Marty. If you can, repeat.
Brady Murphy: Marty, can you hear us? We can't hear you.
Martin Malloy: Yes. I'm sorry. I'll dial back in.
Brady Murphy: We got you now.
Kurt Hallead: Kim, let's go to the next one and we'll circle back to Marty and make sure we cover him.
Operator: Sure. Our next question is from Jesse Sobelson from D. Boral. Go ahead, sir.
Jesse Sobelson: Hi, guys. Thanks for taking my question. Just real quick on the numbers here, somewhat of a housekeeping item, but I noticed from the guidance that, I noticed that, the EBITDA number coming up a little bit, which is appreciative. But, there seems to be -- is it correct that you guys are implying a $30 million range for the second quarter of the year here? And I'm just kind of curious if so, sorry, second quarter of the year. And then, I'm just curious if so, what the drivers of that dramatic range could be to get to both either the high-end or the low-end? Thank you.
Brady Murphy: We're simply looking at the timing of the deepwater projects. We've mentioned in the past that, they're large projects. We believe that, we're obviously going to be in the range that we've highlighted both on the revenue and the EBITDA.
Elijio Serrano: As I understand your question though also you were saying a $30 million range for just Q2, that's actually for the first half of the year, the range, just to clarify.
Brady Murphy : And then in the range spread is no different than what we said coming out at the beginning of the year, which kind of reduced the range at that 315 to 345. So range is comparable to what we said, it's just a little bit lower.
Jesse Sobelson: Okay. And the timing of the projects is what's really going to determine, what that number is and where we perform in the second quarter here. Okay, great. Thanks. Thanks for taking my question.
Operator: Thank you. And our next question is from Tim Moore from Clear Street. Go ahead, sir.
Tim Moore: Thanks. And nice operational execution in the March. For my favorite perennial topic, the desalination of produced water, I mean, you have such an early first mover advantage there. You got the prior pilot experience ahead of any of the other competitors and that recent EOG Resources, important pilot project, the agricultural irrigation study with the acre. So my question really is, how do you decide, which additional pilot plant customers to prove, you're going to have this inflow of demand? Do you have a preference for ones that you already do the pretreatment step advantage for in place? Just kind of curious how you're kind of sorting through that and wait listing folks.
Brady Murphy: Yes. So I think we've announced we have seven NDAs in place with major operators. They're all important to us. They're all actually current customers of ours, that we serve for our Water and Flowback business and recycling and treatment today. Quite frankly, we treat them all equally, as we can. Some are wanting to just do testing at our research facility to demonstrate our capabilities with Oasis. Others are looking at deploying small pilots, depending on their appetite for risk and how quickly they want to move. We're able to run multiple pilot projects, whether we're running them at our research facility or in the field. So we have the capacity to work with all of them to demonstrate the and get them comfortable with the technology. That's really not a challenge at this point. I think the challenge will be, if all of them decide to start wanting to stand up a commercial plant, within a short period of time, that is where we will have to start negotiating and discussing with them how we can handle the timing of that.
Tim Moore: Great. That's what I was definitely getting at more on the commercial side. But just switching gears to Eos, I mean, you mentioned you visited their production facility earlier this month. I expect you probably have a rolling production order schedule from them, as they ramp up their output this summer for battery storage systems. If their first production line reaches that 2 gigawatt hours of annual production rate, maybe I don't know late next year or early 2027, do you have all the sourcing already in place or do you need to sign up more third-party suppliers to meet that demand?
Brady Murphy: Yes. That's a fair question. Obviously, this is something we track very closely for our deepwater project demands versus the Eos ramp up. We're very comfortable that, for the first line of production for Eos, they're 2 gigawatt hours that we will be able to source and supply all that we need to meet that. The timing of when they move to their additional capacity, which they've talked about, I think, up to eight potential gigawatt hours, depending on the timing of that, that is clearly, where we will need to have additional sources of certainly bromine. Everything else, we can source with the quantities that we need. Bromine will be the one that, we'll have to closely match our future demand with their planned production. And we have those discussions with them, as Eos said, very frequently. And we're putting in place a lot of different things to make sure we're ready, whether it's our own bromine plant that will provide plenty of bromine to meet both our deepwater and Eos future demand, or the bridging supply agreements that we are having discussions with existing suppliers with today. So that's the balance that we're managing.
Tim Moore: Great, Brady. I got one last question for you and Elijio. So just for the potential bromine development project, it truly seems like you can self-fund it, without triggering any equity dilution, which I think investors aren't giving you credit for yet. But would you -- you don't have to answer this now, but are you -- would you consider a project financing partner for maybe, I don't know, 20%, 25% stake? Or, would you rather maybe have project finance partners to roll out more desalination plants later on? I'm just trying to think about it in the back of my head, just keep your leverage low.
Elijio Serrano: Absolutely. Assume that we're constantly testing the market. We're looking for partners, so that we can move with a higher degree of confidence in case the base business free cash flow, does not move as fast as we expect. We are constantly looking for partners and testing the markets to find the optimal solution, without diluting our shareholders and without over levering the company.
Operator: And our next question is from Colby [indiscernible] from Daniel Energy Partners. Go ahead, sir.
Unidentified Analyst: Hi. Thanks for having me on the call. Your Water and Flowback margins for this quarter were 13%, which is down slightly quarter-over-quarter, but up nicely year-over-year. And you highlighted that, automation and technology combined with cost controls are the reason for the expanded margins in the last 12 months. Are there still more benefits to be seen from automation and technology? And can you maybe just speak to, how you see the margins for the segment in the intermediate to long-term?
Brady Murphy: Yes, absolutely. Probably one thing we didn't mention for the year-over-year improvement in margins, you'd mentioned the automation, certainly that's contributed, the cost management that's contributed, but we've also have a much larger portion of our Water and Flowback business, that is treatment and recycling of produced water. That has been a rapidly-growing segment of our business throughout 2024, and we expect that to continue to grow into 2025 and that is typically a higher margin profile business for us. Yes, as we go forward, I think I mentioned on the call, we only have about 25% of our fleet automated between sandstorms and our auto drill outs. We will be looking at directing the capital that we spend for this segment into automation, as a priority and supporting our recycling treatment operations. So we believe, we still have the ability to move margins up, from where we are today. Now, second half uncertainty right now with the current climate, oil prices, tariff situation, it has created some uncertainty that it's a little bit harder to give us specific guidance for the second half of the year. But our expectation is, with the things that we're putting in place, we will still be able to move margins upward from where we posted this quarter.
Elijio Serrano: And Colby, to add a little bit to what Brady said, we've taken investors out to visit some of our water treatment facilities in the Permian Basin and we've been on job sites, where we're treating 100,000 barrels a day and there's only one person at the job site per shift. And that's because of the automation that we've got in place. And obviously, those are much, much higher margins. The second point is we also mentioned that, some of our lower margin businesses that we're closing and exiting those. So we'll end up with a better profile of the remaining business that we have as part of this changes that we're making.
Unidentified Analyst: That was great color. Thank you so much. And just kind of switching up a little bit, going back to Oasis. Could you talk about your expectations for the program in the Permian and what success would look like in your opinion compared to the results you've achieved in South Texas?
Brady Murphy: Are you talking about technical results or commercial results or both, Colby?
Unidentified Analyst: Both would be perfect.
Brady Murphy: Yes. In South Texas, because it's a much lower TDS, total dissolved solids, we were able to achieve a 92% recovery of desalinated water from the feed water, which is obviously very high. The Permian is a much higher total dissolved solids, about 150,000 on average or so, compared to 30,000 in South Texas. So the yield that we will get, we're hopeful to get as high as 60% yield of desalinated water from produced water. That can go higher, if we decide to start precipitating solids -- precipitating salts out of the feed water. But initially that would be our target from a performance standpoint and an acceptable target from the customers that we're dealing with. As I've mentioned commercially, we've got commercial pilots. We are getting paid for the pilot operations that we have. We're having discussions with multiple customers on first commercial scale units. Still early days for that. It's actually ahead of schedule from where I thought we would be. But, we'll keep you posted as we go through the year, in terms of our progress with commercial discussions for commercial plants.
Operator: So next question is coming from Stephen Gengaro from Stifel. Go ahead, sir.
Stephen Gengaro: A couple for me. What I'd start with, if you don't mind, is maybe for Elijio on the free cash flow side. You guys during COVID and other periods have always done a good job of maintaining cash flow at solid levels. You mentioned kind of base free cash flow, I think of about $50 million and I think $30 million of that is excluding the sale of stock. How do you think about that number in the environment, we're in over the next several quarters and into next year? You think it's sustainable at that level? How do you kind of look at the puts and takes there?
Elijio Serrano: Let me first clarify a comment. We keep saying in excess of $50 million and we're trying to give us enough cushion in here so that we can exceed the benchmarks that we're laying out. In 2020, the first year of COVID, we generated almost $50 million of free cash flow, as we monetized a lot of the receivables and inventory. We don't think, we're going to see a slowdown this year anywhere near what we saw with COVID. So while we'll monetize some of the working capital, we still think that, we've got a growth business occurring both with desalination and with the growth in the calcium chloride business and the electrolyte for Eos. We're pulling back on capital expenditures for the onshore business, and we will be below levels that we've been at before. Also recognize that, in the recent years, we had expanded capacity on the offshore fluids, by building more storage and blending capacity in Brazil and also in the Gulf Of Mexico. So, those are behind us. We think that we can continue to pull down base business CapEx without impacting the slowdown, without impacting our opportunity to take advantage of that offshore market. And that's what we keep repeating, will be north of $50 million of free cash flow inclusive of the Kodiak sales and that does not imply $30 million for the base business.
Stephen Gengaro: Okay, great. Thank you. That helps. The other two questions I had, one was bigger picture, I get this from investors a lot. And when you think about the water desalt opportunity and the technology, as it evolves, like, what should we be thinking about as far as the environment in which its most applicable, as far as, it's one thing to kind of recycle the water, it's another thing to have a beneficial reuse. So what are sort of the drivers or parameters of an area that need to be in place for it to be kind of most applicable?
Brady Murphy: Yes, Stephen. There's a couple components to that question. I think the first one is that, the available pore space directly in the Permian Basin, where the water is being produced and the Delaware Basin, the available pore space is filling up. These reservoirs are over pressuring. You can see various reports that show the pressure trends within the reservoirs, where they inject. That's public information. And so, there is a time horizon where the in basin pore space, in basin injection is essentially going to be restricted even further, considerably further than what it is today. So, what you see now are operators, who have to start designing midstream systems, working with midstream companies to carry produced water outside of the basin. And that's pretty expensive, both from a capital and an OpEx perspective. I think you've probably seen several announcements made in the last few months, about out of basin disposal systems being set up by the midstream companies. But again, ultimately, that's going to face the same type of challenge that you see with the in basin. It's just such a huge volume of water, that physics will ultimately take over. So, that's one part of it, the operators have to find a solution to the problem. I think the other part of it is, water is a valuable resource. The Permian goes through a lot of droughts, a lot of parts of Texas, South Texas go through periods of droughts. There's incredible need for water that we can treat this for, as we say, beneficial reuse, agricultural purposes, industrial purposes, the data centers that are going to be stood up, all of these, the manufacturing centers that we're talking about now, all of these applications require pretty high spec water in some cases that we can meet. So I think it's a combination of both factors that set the conditions that are going to make this drive, Stephen.
Stephen Gengaro: Okay. Thanks. And then my final, I think, Elijio alluded to this response to a prior question, but, when you think about the margin profile in Water and the automation, I think Elijio suggested that there is potentially some upside in the second half of the year or was that a longer-term comment?
Elijio Serrano: Let's be clear. I think depending on the magnitude of the pullback in the second half of the year and how much excess capacity might be out there to compete against, that's an unknown. We think, we can control our destiny by focusing on those clients that value technology, that take advantage of the differentiations that we bring, that we keep upgrading the revenue base and keep moving towards produced water and away from the lower margin business, but we don't have this completely under our control. It's going to be partially market dependent and a lot of our effort are going to be to counter that.
Operator: Our next question is from Mr. Bobby Brooks from Northland Capital Markets. Go ahead.
Bobby Brooks: Hi, guys. Thanks for taking this second round of questions. Just one for me. I was just curious, not necessarily touched on in the Q&A, but I was really interested in could you maybe just compare and contrast the deepwater market outlook now versus when you reported 4Q in February and WTI was in below 70s? Does the long cycle nature of these deepwater market, deepwater projects really help insulate development from Stalling due to commodity price downturns?
Brady Murphy: Yes, Bobby. Clearly, deepwater is a longer term cycle. So, I mean, I would answer that by saying, we haven't seen any changes by operator deepwater projects that are scheduled for this year. There is obviously some uncertainty in the market right now. If commodity prices went lower, you could potentially see some projects being pushed to the right, but probably not the projects that are on the calendar for this year. They're most likely already contracted, already a lot of things put in motion to deliver those wells. So we don't expect any real change to deepwater this year. Now if oil prices go lower and stay lower for longer -- for the rest of this year, you could start to see some projects again pushed out to the right. We don't expect that, but clearly, there's quite a bit of uncertainty that we can't say specifically that won't happen.
Elijio Serrano: Bobby, just real quick. Just want to add to that. I think this week we've already had a couple of offshore drillers announce their earnings and provide some outlooks with some additional contracts, which are slated to start in 2026 and roll into 2027. So, as of this juncture, there's been no real pause on these deepwater drilling programs.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Murphy for any closing remarks.
Brady Murphy: Thank you very much for joining us again. We're very pleased with the start that we've got to the year. Very pleased with the outlook we have for both the second quarter and the business that we are evolving to with our future projects. So thank you for your interest and thanks for joining us.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.